Operator: Good day ladies and gentlemen, and welcome to our Fourth Quarter 2007 Mettler-Toledo International Earnings Conference Call. My name is Molly and I will be your audio coordinator for today. After the speakers' remarks there will be a question and answer session. [Operator Instructions]. I would now like to turn our presentation over to your hostess s for today's call Ms. Mary Finnegan. Please proceed, ma'am.
Mary T. Finnegan - Treasurer, Investor Relations: Thank you, Molly. Good afternoon. I am Mary Finnegan, Treasurer and responsible for Investor Relations at Mettler-Toledo. And I am happy to welcome you to the call. I am joined by Robert Spoerry, Olivier Filliol, and Bill Donnelly. I will start by covering some administrative matters and then turn the call to Robert. Now for the administrative matters, first, this call is being webcast and is available for replay on our website at www.mt.com. A copy of the press release we issued today is also available on our website. You should be aware that statements on this call, which are not historical facts, may be considered forward-looking statements for purposes of the Safe Harbor provision under the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied. For further information concerning issues that could materially affect performance related to forward-looking statements, please refer to our filings with the SEC. We undertake no responsibility to release any revision to forward-looking statements as a result of subsequent events or developments. One other item, on today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measures and the most directly comparable GAAP measure is provided in the press release. I will now turn the call to Robert.
Robert F. Spoerry - Executive Chairman of the Board: Thanks you, Mary. Good evening and welcome to the call. I will start by summarizing the highlights of our fourth quarter results and then Bill will provide details on our financial results and our guidance for the quarter and the year. Following Bill, I will provide some additional comments on the quarter and then both Olivier and myself will comment on the initiatives. We'll have time for Q&A at the end. I will begin with the highlights of the fourth quarter of 2007. We are very pleased with the excellent finish to the year. All key financial metrics were well above flat year. Local currency sales increased 8%, which had been much better than expected against the strong sales growth of the fourth quarter of 2006. We saw great growth across the board in lab and the industrial products. Favorable market conditions and great execution drove the 23% increase in operating profit. Adjusted EPS was up 30% with the benefit of our share repurchase program. With these strong results, we are raising our guidance for this year for 2008. This guidance reflects an increasing cost view from ourselves on the economy. Bill will cover guidance in more detail in addition to our financial highlights. Now let me turn it over to Bill.
William P. Donnelly - Chief Financial Officer: Thanks, Robert, and hello everybody. As you've heard from Robert, we had a great quarter and are very pleased with the results. Let me start with adjusted earnings per share which came in at $1.73, a 30% increase over the prior year amount of $1.33. In both years adjusted earnings per share excludes purchased intangible amortization expense. On the last page of our press release we have a table that outlines adjusted earnings per share. Turning to sales, sales were $532.8 million in the quarter, an increase of 8% in local currency. On a U.S. dollar basis, sales were up 15% in the quarter, which includes a 7% currency benefit. We have mentioned this before, but it's worth highlighting again that although we do have a benefit on the top line due to currency fluctuations, it is local currency sales growth that drives our operating profit growth. This is because we are relatively naturally hedged with our non-dollar sales approximating our non-dollar costs. Weak dollar had an immaterial impact on earnings. For the full year, local currency sales increased by 8%. Breaking down sales by geographic destination and all these percentages are in local currency, Europe increased by 7% in the quarter with strong growth in laboratory instruments while industrial was solid with particularly strong growth in product inspection. For the year, sales in Europe were up by 6%. Sales growth in the Americas increased by 4% in the quarter with good growth in most laboratory product lines, particularly given the strong quarter we had in 2006. Industrial in the Americas was up nicely with particularly strong growth in product inspection while our core industrial business was flat against the strong quarter in 2006. For the year, sales in the America increased by 6%. Sales in Asia, rest of world increased by 20% in the quarter. For the year sales, in the region increased by 16%. Now let's look at sales by product area. We had 10 % growth in laboratory products in the quarter with most product lines, except for AutoChem, which on a comparable basis was down slightly. For the full year, laboratory sales increased by 7%. Industrial sales grew by 9% in the quarter with solid growth in core industrial products and strong growth in product inspection. For the full year, industrial sales increased by 10%. Finally, retail increased by 2% in the quarter and they were up 3% for the full year. I've kept my remarks here brief as Robert will provide some additional insight on sales by product lines shortly. Now let's turn to gross margins. We finished the quarter at 50.8%, which is up 30 basis points from the prior year. We benefited from sales volume leveraging our fixed production cost, which were partly offset by higher raw material costs, in particular steel prices, as well as some mix. R&D amounted to $25.9 million or 4.9% of sales, an increase of 12% in local currency, reflecting increased investment in new product development. SG&A was $143.9 million, an increase of 5% in local currency. We continued to invest in market-related initiatives and expanded our sales in Asia. These expenditures were partly offset by the benefit of restructuring actions taken in the second half of last year. The net sum of all these items resulted in strong operating income. Adjusted operating income increased 23% to $95.4 million from $77.5 million a year ago. Our operating margins improved by 110 basis points over the prior year. We are certainly pleased with this growth and continued margin improvement. For the full year, operating income increased 22% to $274.7 million, reflecting a 110 basis point margin improvement. Let me now continue down the rest of the P&L. Amortization was $3 million in the quarter. Interest expense was $6 million. In 2007, we had $200,000 of other income as compared to 2006 when we had $1.4 million of other income consisting principally of interest income and excess cash balances, which we have since reduced to fund our share repurchase program. Our tax rate in the quarter was 27% and we remain comfortable with that rate going forward. During the quarter, we repurchased 674,000 shares of stock for a total of $75.5 million. For the year, we repurchased 3.4 million shares for $324.6 million at an average price of $95.88. Fully diluted shares for the quarter were 36.9 million and at the end of the year were 36.6 million. During the year, we reduced our weighted average shares outstanding via the share repurchase program by 7%. Finally, earnings per share on a reported basis was $1.72 in the quarter as compared to $1.31 in the fourth quarter of 2006. Adjusted earnings per share was $1.73 in the quarter, which is a 30% increase over the prior year amount of $1.33. On a full year basis, adjusted earnings per share was $4.74, a 27% increase over the prior year amount of $3.72. Now turning to cash flow. In the quarter, cash flow from operations amounted to $59.1 million versus $51.9 million last year. Free cash flow, which is after CapEx, was $43.6 million as compared to $41.4 million last year. Cash flow per share was $1.18 versus $1.04 in the prior year Q4. For the year, cash flow per share was $5.18, an increase of 22% over the prior year amount of $4.24. We continue to make nice advancements in working capital. We had a one day improvement in DSO, which was at 47 days on a last three-month basis. We're pleased with that level. On a last 12-month basis, ITO also increased ending the year at 5.4 times as compared to 5 times in 2006... 5.0 times. That covers the quarter, now let me give a word on guidance. Our normal sales guidance is in the range of 4% to 6%. In the first quarter of 2008, we expect sales to come in at the mid to high end of that range. This should translate into adjusted earnings per share growth of $0.96 to $0.98 per share or a growth rate of between 20% and 23% over the prior year quarter. Now for the full year of 2008, given the current volatility and uncertainty in the economy, forecasting has become increasingly difficult. We're building our plans assuming sales come in at the lower half of our 4% to 6% guidance range. Assuming this sales level, we should deliver adjusted earnings per share in the range of $5.30 to $5.45 or 12% to 15% growth rate. This is an increase over our previous guidance of between $0.13 and $0.18. Of course, it is early in the year and will adjust our plans as conditions play out. Okay, that's it from my side and I'd now like to give the call back to Robert.
Robert F. Spoerry - Executive Chairman of the Board: Thank you, Bill. As Bill just mentioned, we are raising our guidance for 2008, but also we will watch the economy very closely to see how conditions do develop. Now let me make sure that you understood our results for 2007 with some additional comments. Let's start with our lab group, which as you have heard, had sales growth of 7% in the last year. Our balances and analytical instruments had excellent growth, driven by new product launches and the benefit of Spinnaker marketing initiatives. I am very pleased with our pipette business, which we turned to growth in the United States and continued its strong growth internationally. Process analytics had another year of double-digit growth, also driven by new product launches and Spinnaker-related initiatives. With respect to AutoChem, with our renewed focus on reaction engineering and real-time analytics, we will be optimistic for better growth in this year. Overall, we are quite pleased with our lab performance in 2007. Industrial also had an excellent year with total sales growth of 10%. We had double-digit growth in product inspection as we benefited from the heightened concerns over food safety. With our growth, product offering and extensive service capability, we are in a good position to capitalize on these opportunities. Our core industrial business was also up solidly driven in part by strong growth in emerging markets while we also had good growth Europe. As we look to 2008, there is a couple of factors impacting growth. First, product inspection that will have tough comparison after their great performance in 2007; second, we do expect some impact from the weakening U.S. economy on our core industrial business. Finally, food retailing came in, as expected, with low single-digit growth for the full year. As you know, this was on top of 2 years of very strong growth. We expect a good start to retail in 2008 as we run an important large order which will be in installation and shipping shortly in the next couple of weeks. That is all on the comments for the business. I'll now turn to an update on our strategic initiatives. Diligent execution of our strategic initiative along with favorable market conditions drove our strong 2007 financial performance. We made great progress with our Spinnaker initiative, our growth initiatives in the emerging markets and our many new product launches and our efforts to drive margin expansions despite inflationary pressure. Olivier will provide some commentary on Spinnaker, but let me make some additional comments on our other growth initiatives. Emerging markets do now represents approximately 25% of our total sales and have been showing excellent growth in these markets during 2007. China is the anchor for our emerging market strategy, and Russia, India, Southeast Asia, Eastern Europe are also being important contributors. We anticipate strong demand from these regions for many years as their economies continue to evolve and develop. Our growth product offering can meet their demands, not only on their basic infrastructure needs, but also on their increasing need for more sophisticated quality control implementation. We maintain strong leadership position in these markets and continue to place high management attention on these operations and thrive for growth. In 2007, we expanded our manufacturing capacity with new plant in China to serve the emerging markets under our global network. This site provides needed capacity expansions to meet our growing needs and allows us to continue to maintain our cost leadership position in our global markets. Turning to new product launches, we had many in 2007 which we have discussed with you over the last year. Among them are new thermoanalysis [ph] instrument products with significant improved productivity and sensitivity, a new intelligent management center concept with predicted capabilities in process analytics, a pipette that combines manual and electronic technology, and the new x-ray instrument to target the safety concerns in the food industry. All new products come to market with tangible payback propositions for the customers. Now on the cost side, in 2007, we saw increasing inflationary pressure from certain raw material categories. Despite these pressures, we were able to improve operating margins by 110 basis points. Several factors contributed to this. First, we benefited from our procurement initiatives aimed at low cost country sourcing and supply consolidation. Second, we pushed through incremental price increases on many products, especially those with increasing raw material prices. And finally, we continue to make progress in overall productivity improvement. We will continue to closely monitor costs particularly given the current economic environment. With 2007, we also marked 10 years as a public company. During this period, on a compounded annual growth rate, sales increased 7% with approximately 2% coming from acquisitions. During this same time, our EPS growth was 20% compounded over all the years. Underlining the success has been the continuity of our business strategy. While our initiatives supporting these strategies change constantly, our core strategies have remained intact. Successful execution is the key to our financial performance and we are very confident in our ability to continue on this path. Now let me turn it over to Olivier to speak on more detail on future initiatives and in particular on Spinnaker, and also give you some concluding comments about the year ahead of us.
Olivier Filliol - Chief Executive Officer: Thank you Robert and hello everyone. You have heard us talk about the Spinnaker for some time now. It's not really a project, but rather a company-wide focus on growth through excellence in sales and marketing. When we initiated Spinnaker, it was centered on segment marketing, which involves identifying and privatizing industry segments. For select segments, we invest resources to gain expertise and application-specific knowledge. The knowledge is then applied to how we market, sell, and develop our products. To showcase to our understanding to customers, we publish industry specific news letters, highlighting key customer challenges and describing how our products help customers overcome these challenges. Let me summarize how significant and broad based this segment marketing efforts have become within Mettler-Toledo. In 2007, we published 46 segment news letters for 23 different industries and this was across our lab, industrial, product inspection, as well as the process analytics business. In general, we publish these news letters twice per year. They are distributed to approximately 800,000 customers, which means that in 2007 we sent out 1.7 million news letter copies. One final item, these news letters were available in a minimum of 10 languages with some available in up to 18 different languages. Obviously, a huge effort throughout the organisation. These newsletters as well other industry specific literature that we develop have been a vital component of our marketing efforts and our lead generation programs. In addition to our industry-focused marketing efforts, we are also investing additional resources to increase our lead. For example, we are using telemarketing resources to qualify lead and thereby increase sales force productivity. We are also using the internet to better market our products and services. This includes investments in search engine marketing and the email campaign. We enjoyed significant increases in leads in each of the last few years and will continue to use these and other techniques to drive further lead growth, which of course is the basis for future revenue growth. As I said before, Spinnaker is an evolving program and we are now expanding it with an initiative on sales force productivity. In 2007, we conducted detailed workshops throughout the world to focus on improving the productivity of activity surrounding the sales process. As a result, we are focused on sharing best practices throughout the organization, providing more automation tools to our sales team, improving territory management, and launching a global training program for our sales force on product and application know-how, value-selling and pricing. We expect to start seeing the benefits of this initiative in 2008 and believe we can see solid increases in sales force productivity in the coming years. I will continue to update you on Spinnaker and our other strategic initiatives on future calls. We had an excellent year in 2007 and we are well positioned as we begin 2008. In addition to Spinnaker, we expect benefits from new product launches, demand in emerging markets, and continued focus on costs. While we have increased our guidance, we have tried to take into account increasing economic uncertainty. You've heard Bill say that we are forecasting sales growth to be at lower half of our guidance range in 2008 while we expect earnings per share growth to be in the 12% to 15% range. We anticipate a solid start to the year, but have made some allowance for weaker market conditions later in 2008. As in the past, we will carefully watch our cost structure and will make adjustments if we see lighter [ph] quarters evolve unfavorable. Whatever market conditions do develop in the short term, we remain highly confident about the strength of our franchise in the long term. That concludes our prepared remarks. And now I would like to ask the operator to open the line for questions. Question And Answer
Operator: [Operator Instructions]. Your first question comes from Peter Lawson with Thomas Weisel Partners.
Peter Lawson - Thomas Weisel Partners: I wonder if you could just go through the strength you've seen in Asia by end market, by customers' business lines et cetera and do you think you have all the infrastructure in place to capture that growth over the next 12 months?
Robert F. Spoerry - Executive Chairman of the Board: We had an excellent finish, as you've just pointed, in Asia last year. The reason for that I think is manifold, maybe one key point to that is that we have given a lot of management attention to Asia, in particular China last year. We spent a lot of time with the Chinese team to develop strategy to exploit all these opportunities and we have increased significantly our headcount in that part of the world while maintaining headcount in the western part of the world just pretty much flat. And frankly, just all this energy and the efforts we have made are now paying dividends and I think we'll continue to pay dividend offerings in the coming years, or in this year. In terms of the factors, the industrial business was very robust with very solid growth, but also on the lab side we see more and more customers making investments in research facilities and pulling the demand for our laboratory product offerings. And also the retail sector has been doing very well. So we saw it's very broad based. Packaging inspection had great growth from a very small base in China, but we have made huge investments in the course of last year to get ready for that opportunity, starting up local manufacturing, starting up local sales and service organizations, and also local engineering teams. So having said all of that, we are very pleased with the finish we had. But we certainly want to continue to build on that. And may be I also want to highlight here that all these emerging markets together today accounts for 25% of our company revenue, which is very significantly different than what it used to be and makes us also confident as we look into the future. The bigger the base in this growing market, the more helpful it's of course for the company overall.
Peter Lawson - Thomas Weisel Partners: Thank you, that was really helpful. And you mentioned concerns of the industrial business in 2008, is that something you are seeing in 1Q or is it from the order flows or is it just more of a conservative nature amongst this sort of a period of uncertainty?
William P. Donnelly - Chief Financial Officer: I guess it's probably the latter. If you look, I guess, the guidance we just provided indicates we have not yet seen softness overall in our business. In fact, that's... we are looking for a very solid start to the year. If you look in the details of our numbers, we expect to get off to a good start and want to be cautious to see what happens later in the year and build our business plans accordingly.
Peter Lawson - Thomas Weisel Partners: How much of the industrial business is in the U.S.?
Robert F. Spoerry - Executive Chairman of the Board: While Bill is looking for the numbers, let me maybe just describer it. I mean, clearly our industrial business in particular is more anchored [ph] than all the businesses in this emerging market. China, as you all know, is over proportionally biased towards our industrial business, but I think Bill and Mary are just getting ready to give you a number for that.
William P. Donnelly - Chief Financial Officer: So, our industrial business in total is around 42% of sales and the U.S. piece of that is approximately one-third, and about half of that is coming from either service products or what I would call areas in the industrial sector that wouldn't be so necessarily susceptible to slow down; for example, product inspection in a few other areas have tended to be more resilient serving e the food and pharma markets.
Peter Lawson - Thomas Weisel Partners: Thank you, Bill. Wondering if you could just kind of finish off the break-out of the different divisions, so you said 42% for sales, what was lab and what was retail?
William P. Donnelly - Chief Financial Officer: In the quarter, lab was 46% and retail was 12%.
Peter Lawson - Thomas Weisel Partners: Okay, thank you so much.
Robert F. Spoerry - Executive Chairman of the Board: Welcome.
Operator: Your next question comes from Peter McDonald with Wall Street Access.
Peter McDonald - Wall Street Access: Hi. Thanks for taking the question. First just... I mean, how large a business is product inspection and kind of what's been driving the strength? Is it new products, is it regulations, is it emerging markets?
William P. Donnelly - Chief Financial Officer: It's a little over a couple of hundred million dollars. It's been growing in part due to concerns around food safety; it's been growing in part due to increase in consumption of package goods in emerging market countries. And I think it's largely growing because the guys in that group are executing really well, both in terms of sales and marketing as well as product development.
Robert F. Spoerry - Executive Chairman of the Board: And also, we have brand new technology like the x-ray technology which for a quite while was more a technology only to look at, but we didn't really embrace it, but in the recent two years, x-ray became a very, very accepted technology and we see excellent growth in that business, while also checking [ph] a metal detection just upside. That's still to say I do want to re-enforce that point, there are major opportunities in this business in the Asian part of the world, and roughly 70% of that business is addressed into food market, and of course food correlates the population... most of the population is in Asia and they are changing their eating habits, namely eating more packaged foods. We'll see there great opportunities for the company.
Peter McDonald - Wall Street Access: Okay. And then in terms of price increases, how much did you get through last year?
William P. Donnelly - Chief Financial Officer: If we kind of weighted across, I would say the effective realized number was in the 100 basis point range, but if we count kind of the ones that we did, more duo to like raw material price increases, particularly in some of our products that have heavy steel count, would be a higher number than that.
Peter McDonald - Wall Street Access: Okay.
Robert F. Spoerry - Executive Chairman of the Board: And we also take a lot of measures to further improve the pricing on our products and maybe, Olivier, since you are driving that as well the organization, you may want to comment on that?
Olivier Filliol - Chief Executive Officer: I mentioned during the call before, within Spinnaker we do invest quite in training and we did actually many workshops with our sales force to improve the awareness of the importance of reducing discount also with our customers and getting really the optimal price. And we have certainly seen benefit already last year and we continue to raise this awareness with all our sales organization around the world for this year.
Robert F. Spoerry - Executive Chairman of the Board: Aside from that, we are also doing much more value-based selling, many of our product launches, they will be launched together with payback calculated for those products, and more and more we talk to our R&D team when we do initiate R&D projects that we actually... before even start working on it, have to start it for the customer. Ultimately if the customer is going to spend money on our products and we want to offer them a value and the value is the payback. So, all that together I think helps us to defend our pricing to price increases and also have higher margins at the end of the day.
Peter McDonald - Wall Street Access: Okay, great. And then one final question. CapEx level in '08, what are you expecting here?
William P. Donnelly - Chief Financial Officer: $40 million or so and a little bit of that depends on exchange rates, but at least sitting here today we would say in the $40 million range.
Peter McDonald - Wall Street Access: Okay, great. Thanks a lot.
William P. Donnelly - Chief Financial Officer: Welcome.
Operator: Your next question comes from Rob Mason with R.W. Baird
Robert Mason - Robert W. Baird & Company: Yes, just a couple of things. When you think about the guidance for the year, the local currency growth of 4% to 6%, could you break that down by geography or how do you think that would shake out among your three main geographies?
William P. Donnelly - Chief Financial Officer: Okay. So, first, we don't see that there would be such an impact in terms of Asia, rest of world. Of course that could come a little bit later, China of course exports a lot to the United States, but Asia, rest of world should grow something north of 10%. And then in terms of the Americas, we think that that would be, we're assuming a lowest single-digit kind of number and something a little bit better than that in Europe.
Robert Mason - Robert W. Baird & Company: Okay. Now, has there been any change in that thought process from when you initially issued guidance?
William P. Donnelly - Chief Financial Officer: Well, we issued guidance may be three months ago. I would say that certainly there has been a lot about the U.S. economy in the news then. So, we're probably a little bit more concerned about that even if we aren't leaving it immediately, but on the other hand we also had really a strong finish in the year in emerging markets, in part driven by the investments we had made earlier in the year.
Robert Mason - Robert W. Baird & Company: Okay.
Robert F. Spoerry - Executive Chairman of the Board: Let me just reiterate that we had a great finish to the year. I think, as we start the new year we are optimistic for the first quarter, but we start with a great backlog and you will see that our guidance for the first quarter is a very solid guidance. In that sense, we haven't really seen reduced momentum at this point in time, but everybody is talking about slowing down in the economy. At least we are building our model based on that.
Robert Mason - Robert W. Baird & Company: Okay, fair. And then maybe as a follow-up, just to the extent the guidance range has expanded, I think it was $0.10 and now it's $0.15 and of course you shaded the sales growth towards the lower half, but what accounts for the wider EPS range?
William P. Donnelly - Chief Financial Officer: I guess just a general feeling that there is probably more volatility or uncertainty out there and that would probably the primary answer.
Robert Mason - Robert W. Baird & Company: Okay. Just in the context of your primary expenses or investments, R&D growth at 12%, you mentioned that was directed towards new products, is that a rate of growth that we should anticipate holding for 08?
William P. Donnelly - Chief Financial Officer: No. I think, we'll return to more traditional number in line with the sales growth.
Robert Mason - Robert W. Baird & Company: Okay. All right. Thank you.
Robert F. Spoerry - Executive Chairman of the Board: It is driven by project activity and sometimes you have tooling or whatever costs.
Robert Mason - Robert W. Baird & Company: Okay. Thanks, Robert.
Robert F. Spoerry - Executive Chairman of the Board: Bye.
Operator: Your next question comes from Jon Groberg with Merrill Lynch.
Jonathan Groberg - Merrill Lynch: Good evening. Congratulations on a great quarter. You guys are becoming the high growth tools company out there.
Robert F. Spoerry - Executive Chairman of the Board: Thank you. We'll try hard to keep that name up.
Jonathan Groberg - Merrill Lynch: Just I have three questions. One maybe, Bill, if you could explain on the cash flow in the quarter, for the year it looks like your working capital other, the change in working capital other was fairly similar to '06, but you had a pretty big step-up, that's around $41 million, and looks like you ate up in cash in the last quarter here and I was just curious what was driving that?
William P. Donnelly - Chief Financial Officer: A piece of it was inventory related. At the end of '06, frankly, we really took down our inventory levels, just maybe the way things kind of timed out, you guys kind of could see we had a pretty good drop within the fourth quarter a year ago. And then in the fourth quarter this year, we actually had... we were not able to get product completely out the door. I think Robert was referring to high backlog levels and that high backlog level has translated to higher inventory levels. Then second thing is of course the growth rate was quite high in the fourth quarter, including high sales in emerging market countries. On average, a customer in China pays somewhat slower than a customer in the United States or Germany. Collection rates are still good, I don't want to imply anything more there, but just the general terms tend to be a little slower.
Jonathan Groberg - Merrill Lynch: Okay, great, thanks. And then can you, maybe, Robert, this is for you, given if you look back the last time, I appreciate the conservative nature that you guys have just given the uncertainty out there at least in the U.S. and then potentially global kind of industrial markets, and just curious how you feel your are positioned relative to the last time this really happened when you went to kind of... the only time you really haven't grown kind of in that 2002 timeframe. Maybe you can just discuss how you think the firm is better positioned to withstand a slowdown should it occur?
Robert F. Spoerry - Executive Chairman of the Board: Yes, maybe let's go back to last 10 years and let's look at the growth rate we had over those 10 years. The local currency adjusted over the last 10 years, we grew 7%, 2% acquisition, 5% organic. The worst period we had was modest single-digit growth, I guess, around 1% or so maybe. And that was, of course, during the tough time of recession. And as I am saying that number, I am putting out the one-time effect we had from retail, which was a very particular circumstances with the euro changeover. And frankly it has a little to do with the economy as such. At that time, our situation was much different in many ways. First of all, the amount of business we had in the emerging markets was much smaller. Today, as I said before, in the emerging markets, we have 25% of our revenue and, say, even if it gets tough from the economic weakness of the U.S. builds over into other parts of the world, I am optimistic we can grow more than 10% in that part of the world. And as I said before, we have done so many things over the last years to really accelerate growth in these markets. And the limitation is more, there're many things, the many opportunities, the resources towards that done, anything else. That's one big change. Then the second big change is I think the programs which Olivier has been driving so hard under the umbrella of Spinnaker is sales and marketing programs. We frankly hadn't had anything exactly in [ph] place at that time. Today this is much different, this engine is rolling. Olivier gave you some very impressive numbers on this, and I can tell you the lead generation, which was very strong in the last three years, continues to be strong. And for me that's actually one of the leading indicators we have. Lead regeneration tells us a little bit about the business, not just in the next couple of weeks and months, but a little later in the year. And so far so good. And that made us also give you that guidance for the start into this year.
Jonathan Groberg - Merrill Lynch: Great. So I was going to follow-up with the question to Olivier, but maybe just one follow-up on the kind of the outlook here globally. What makes you most concerned? I was in China and saw a lot of what was going on there, visit some companies and I am just curious what... is there anything that makes you concerned given that you have become a fairly significant emerging market company, over 25% of your sales there, what could may be derail that outside that... sounds like the U.S. slowdown I think is going to... it could slow it down, but not derail it. Is there anything else that makes you a little bit nervous in those countries?
Robert F. Spoerry - Executive Chairman of the Board: Well, let's put this in perspective. Out of the 25%, 10% is China I think. So, there are many other pillars around that, East European countries, Southeast Asia.
William P. Donnelly - Chief Financial Officer: India.
Robert F. Spoerry - Executive Chairman of the Board: India, Russia and so forth. And they all have their reasons for growth. What concerns China, I think, is the biggest part. A) I don't think there is anything which really should hold that back. As I said earlier in the call, we spend so much time as a management team to really help and work together with our Chinese team, develop growth strategies and the momentum we are seeing is actually excellent, though the actual resources and initiatives we have to keep that going. We are not seeing in that sense clouds from the horizon at least short-term.
Jonathan Groberg - Merrill Lynch: Okay. And then Olivier, could you just maybe quantify, you mentioned this idea of the significant number of increase in leads and then the significant... that there are also higher quality leads and I don't know if you know the company overall, if you have a specific example for within a division, but could you just quantify a little bit more the percentage increase in leads that you are seeing with these initiatives that you've talked about, the newsletters, the search engines, the email campaigns? And what metrics you look at indicates they are higher quality leads and just how, I guess... how you quantify the kind of the sales force effectiveness in cost savings that you are getting from these initiatives?
Olivier Filliol - Chief Executive Officer: Okay. We actually really started this leads initiative early 2005 and that's also the time when we started to build dashboards to track the growth and I would say the first year it's a little bit difficult to say because when you start to track it, you have a base data collection problem. So, over the last few quarters, we got certainly more accurate in tracking that. But If I take an average over the last two years or so, I would say a 30% leads growth is a good average that we could observe around the world. This is worldwide, and coming from many different sources. In terms of leads quality, which is something that we track not in every country, but more and more in countries and we track that in terms of leads conversion. We are tracking how many of the leads are then converted in actual deals and that also a quality number for us and helps us also to allocate the resources in the right way. When I say resources, I mean, mainly marketing spending. And for example, are we spending more money on telemarketing or more money on search engine marketing. Yes, that's probably the key highlight that I can give you on lead generation and obviously we continue to track that also now where the economy becomes a little bit more uncertain, this can help us to be an early indicator, but when we see that something would slow down and also we can take extra corrective measures. So, this works quite a well for us to manage the growth.
Jonathan Groberg - Merrill Lynch: And just what's been the improvement in leads conversion? I mean, you talked about 30% average lead growth has the leads conversion, do you have any quantifiable number there as to how that's improved? Or has it stayed fairly stable, that you just have 30% more leads. I am just curious if the quality of the leads --
Olivier Filliol - Chief Executive Officer: Let me phrase it that way. The quality of the leads and the conversion rate... let me say it that way, the quality of the leads did not drop even as we had this very significant growth. The leads conversion itself is going slightly up, but it's not this dramatic step that we would see. I think what we would rather see is that even as we grow the leads by 30%, we maintain or slightly increase the leads conversion. But don't look at that we certainly make... we would move from 20% leads conversion to 30% leads conversion. That's not really the key lever today.
Jonathan Groberg - Merrill Lynch: Good, perfect. Thanks.
Robert F. Spoerry - Executive Chairman of the Board: Welcome.
Operator: Your next question comes from Derik De Bruin with UBS.
Unidentified Analyst: Hi, this is Dan in for Derik today. I was just wondering whether you guys might be able to get some thoughts on the particularly cautious outlook for the Americas or U.S. specifically. I know that within industrials, there are areas that are strong, but may be for some of the other businesses whether there are parts where you are more optimistic for improvement or rebound than others?
Robert F. Spoerry - Executive Chairman of the Board: In terms of U.S., I will talk, probably we made already our comments on the industrial sector. The retail sector is also a little closer to the consumer market and therefore we also are cautious on that side. Well, concerning the lab business; I think it's a very different pattern. We have seen very steady growth in our lab business. Our lab business is a replacement business. We have a lot of new products also coming here this year, which will again get [ph] the replacement of those products. And I think, what we have seen... one of the key industries for our laboratory products is pharma biotech industry, we have been very steady situations since the drop from 2003 to a lower R&D and CapEx level, things have been very steady and we don't see a dramatic change there and therefore believe we can have similar growth rates in the lab business.
Unidentified Analyst: Okay, great. With respect to industrials overall, I know that last quarter you had said you were seeing a pretty healthy backlog. Did you see... do you see yourself getting to a point near... in the near term or you are just fully booked for the year and you have sort of maxed out that the capacity maybe earlier than previously thought?
Robert F. Spoerry - Executive Chairman of the Board: Well, we wish so.
William P. Donnelly - Chief Financial Officer: Olivier needs to work on that conversion rate a little more.
Robert F. Spoerry - Executive Chairman of the Board: Just to put everything in perspective, we typically had 6-7 weeks of backlog and we have built last year a nice backlog in addition to the previous year and that makes us confident for the start of this year. But it's not going to take us far into the year.
Unidentified Analyst: Okay. And one more topical question. I was wondering whether the weather situation in China, you could see that having any impact on business?
Olivier Filliol - Chief Executive Officer: We would expect short-term some impact in terms of being able to shape and install our products, but at least medium-term, we don't have any signals yet that this would have an impact and we also don't see any signals that our customers would change their buying behavior. But short-term, yes, some shipping challenges.
Robert F. Spoerry - Executive Chairman of the Board: But that will be washed out for the quarter in case things don't continue for too long.
Unidentified Analyst: Okay. Thank you.
Robert F. Spoerry - Executive Chairman of the Board: Welcome.
Operator: Your next question comes from Tycho Peterson with JP Morgan.
Unidentified Analyst: Hi, this is Sungji [ph] in for Tycho today. A lot of my questions have been answered. Just one quick question is given your many successful product launches in the past year, could you speak to what your R&D priorities are looking to 2008 and any particular area that you look to be focused on?
Robert F. Spoerry - Executive Chairman of the Board: Thanks for the question and it's not easy to answer because usually here on the call, we have lot of competition and I am not announcing this new product competition that way. But you can assume that we have, as usual, a constant flow of new products across all our product range and we'll certainly keep you informed as we go through the different quarters. But our R&D pipeline and our innovation capability remains economic [ph].
Unidentified Analyst: Okay. Thank you.
Robert F. Spoerry - Executive Chairman of the Board: Welcome.
William P. Donnelly - Chief Financial Officer: Thank you.
Operator: Your next question comes from Jon Wood with Banc of America Securities.
Jon Wood - Banc of America Securities LLC: Okay, thanks. Robert or Bill, for the AutoChem operation, does the outsourcing trend in pharma manufacturing represent a meaningful driver to that business in your view or will we need to see a pick-up in new drug approvals before that operation really takes off?
Robert F. Spoerry - Executive Chairman of the Board: Well, that operation hasn't taken off because we did restructure it and reposition it. What's originally foreseen to be a business offering different technologies across the drug discovery process and as you may recall, we started that during the technology wave, end of 2000-2001-2002. In those years, we felt we don't have all those different solutions. In the mean time, we've repositioned the business and really set our core strength with real-time analytics and reaction engineering. And that's a very strong position we have. And on that base we want to grow and I think we are going to have very solid growth actually from those outsourcing trends you were just mentioning. I think those outsourcing trends certainly will help us well.
Jon Wood - Banc of America Securities LLC: Okay. And just --
Robert F. Spoerry - Executive Chairman of the Board: Jon, maybe I want to ask you, you recall that part of the restructuring of the business was also spinning off one of the businesses, namely the SSE business, which we just sold given the new provisioning doesn't really belong to that franchise.
Jon Wood - Banc of America Securities LLC: Yes, and that was like a $10 million hit this year. Is that right?
Robert F. Spoerry - Executive Chairman of the Board: Exactly.
William P. Donnelly - Chief Financial Officer: Exactly correct.
Jon Wood - Banc of America Securities LLC: Okay. How big is the AutoChem business now on an annual basis?
Robert F. Spoerry - Executive Chairman of the Board: Is high 50s, low 60s.
Jon Wood - Banc of America Securities LLC: Okay. And then the small business tax stimulus legislation making its way through Congress, could that be a catalyst for your U.S. operation? I mean, our small business is even a meaningful part of the mix in the U.S. or is that not a driver in your view?
William P. Donnelly - Chief Financial Officer: Probably not so significant, but it wouldn't hurt either, but not so significant.
Jon Wood - Banc of America Securities LLC: Is there a rule of thumb you can give us of what proportion of your sales, I,mean is it less than 10% come from a real small business?
William P. Donnelly - Chief Financial Officer: I would guess it is even smaller. I would be surprised if it was 5%.
Jon Wood - Banc of America Securities LLC: Okay. All right, thanks a lot.
Robert F. Spoerry - Executive Chairman of the Board: You are welcome.
Operator: [Operator Instructions]. Your next question comes from Vivek Khanna with Civic [ph].
Unidentified Analyst: Hi, good evening. I had a question in terms of the growth in China. Could you just comment on what it was in the quarter? And then I had another question in terms of the backlog, did you build unusually high backlog this quarter because you had... you were just out of capacity in terms of shipping, maybe you can comment on that? Thanks.
William P. Donnelly - Chief Financial Officer: So the first the growth rate in China was in the mid 20s and in terms of shipping, yes, we finished the year with a record high level of backlog and that was partly driven by good order flow at the end of the year on the longer lead-time products and in part as you will imply, driven by full factories. Some of the lab products in particular had full factories.
Unidentified Analyst: Right.
Robert F. Spoerry - Executive Chairman of the Board: And we are guiding you to a good start into the year.
Unidentified Analyst: Right. And then I just wanted to check in on your guidance for next year on the margin side, what are you expecting in terms of EBIT margin expansion next year? Like if use your revenues, is it like, something like 40 to 50 or is it less then that basis points?
William P. Donnelly - Chief Financial Officer: Yes, I think on a constant currency basis, it's in that kind of range.
Unidentified Analyst: And then interest expense, is this a good run rate or should it go down with the reduction in interest rates?
William P. Donnelly - Chief Financial Officer: I think it's... there is probably some opportunity for it to go down a little bit. We are probably a little bit more dollar borrowed today as apposed to Swiss franc which is at a slightly higher rate, but hey, I don't think that's a bad business.
Unidentified Analyst: Okay. Okay, great. Thank you.
Robert F. Spoerry - Executive Chairman of the Board: Welcome.
Operator: Your next question comes from Diane Wehner with GE Asset Management.
Diane Wehner - GE Asset Management: Hi, there. Can you hear me?
William P. Donnelly - Chief Financial Officer: Yes. If you could speak louder, that would be helpful.
Diane Wehner - GE Asset Management: Okay, I am sorry. I am on a cell phone.
William P. Donnelly - Chief Financial Officer: Yes, we hear you now.
Diane Wehner - GE Asset Management: I wanted to get back... okay. I wanted to get back to your industrial a bit, as it relates to Europe. Could you characterize that or quantify at least what you did for U.S.? What percentage of your industrial business is in Europe and the next step, how much of that is more in the service area or the area that's probably not quite as typical?
William P. Donnelly - Chief Financial Officer: Sure. Our industrial business again in total is 42%, 43% of sales. Our European business is of a similar make up. Within Europe, we have a good-sized service business and a good-sized PI business. I guess probably I would give similar percentages that the service piece and the product inspection piece, which should be less than sensitive, probably combined represent close to half of that business.
Robert F. Spoerry - Executive Chairman of the Board: For the whole company and I think service is around 25%. In industrial, it's a little more, probably more around 30%.
Diane Wehner - GE Asset Management: Okay. Thanks.
Operator: There are no further questions and I will turn the call back over to Mettler-Toledo.
Robert F. Spoerry - Executive Chairman of the Board: Yes. I would like to thank you very much for joining us tonight. As you could you hear from our call, we are really happy how we finished 2007 and also are quite optimistic on how we are going to start into the year. I want to also mention here on the call that we conclude today's conversation that we will plan and invest today tentatively so far, but we are targeting Thursday, June 12. It will be the day we start at 9 o'clock and meeting will carry through lunch time. We are still finalizing everything, but as soon as that is all in place we will of course let you informed and send you out an invitation. We will use that occasion to show you some new products and technologies, so back to an answer which came up on that call. Also Olivier will make a more extensive presentation on his strategic plans and how he wants to take the company forward. So it will be a great opportunity for you to meet Olivier personally. Again, I thank you very much for joining us today and wish you all the best. Bye, bye.
William P. Donnelly - Chief Financial Officer: Thank you, bye.
Operator: This concludes today's conference call. You may now disconnect.